Operator: Good afternoon, ladies and gentlemen. Welcome to the Martinrea International First Quarter Results Conference Call. Instructions for submitting questions would be provided to you later on. I would now like to turn the call over to Mr. Rob Wildeboer. Please go ahead.
Robert Wildeboer: Good evening, everyone. Thank you for joining us today. We always look forward to talking with our shareholders and we hope to inform you well and answer questions. We also note that we have many other stakeholders, including many employees on the call and our remarks are addressed to them as well as we disseminate our results and commentary through our network. With me are Pat D’Eramo, Martinrea's CEO and President; and our CFO, Fred Di Tosto. Today, we will be discussing Martinrea's results for the year and quarter ended December 31, 2022. I refer you to our usual disclaimer in our press release and filed documents. I will speak, Pat will speak then, Fred and then we will do some Q&A. Welcome to 2023, a year of promise and anticipation, building on a very solid 2022, it turns out. I want to start with a word about our people and our culture. We believe our people are the most valuable assets of our company. It's been 3 years or so since the World Health Organization declared a pandemic. And we, as a company and as an industry faced a series of monumental challenges that, in many respects, were new, unprecedented for us. Our people faced a challenge with courage and tenacity and we have never been more proud to work with such a great group from the receptionist to the shippers in our plants to our Executive team and our support functions. But many felt for the worst of times, may have turned out for us to be the best of times, although it certainly was not always a fun time. We talk about our culture a lot at Martinrea as all our stakeholders have come to know. Our vision is making lives better by being the best supplier we can be in the products we make and the services we provide. Our mission is basically to take care of our people, our customers, our communities and our stakeholders, lenders and shareholders. Our 10 guiding principles represent the way we approach our business. Our sustainability and success, we believe, comes down to culture. As leaders, we are the Chief Culture officers of the company. Living our vision is at the core of the future. Our culture, especially as we have cultivated it more and more over the past few years is a sustainable competitive advantage. To us, the golden rule means treating people the way you want to be treated. It covers so much. It covers dignity and respect. It covers teamwork and coverage integrity and truth. It covers diversity and inclusion. It covers ESG, it covers good leadership. It makes us a great company. We don't want to say we're a great company because we have diversity. We want to say we're a diverse company because we are great. Think about it. There's a meaningful distinction. Your people have to trust you to lead them this way, to trust that you care for them. Leadership is stewardship and think about this, progress travels at the speed of trust. Some people may be skeptical. They may ask but what do your people say? Let's talk about that. Every year, we do detailed employee surveys administered by third-party experts who performed similar functions for many companies, including some of our competitors and customers. We are told we have not just industry-leading stats but we are one of the best-performing companies anywhere. Our employee surveys are voluntary but we had almost 15,000 surveys submitted. That's a pretty good sample. We have 58 locations now in 9 countries on 5 continents and different product groups. That's also a good sample. We scored very well in the general categories, the way we work, covering health and safety, work environment, teamwork and collaboration, supporting our people, addressing communication, fair treatment, diversity and inclusion, value and recognition, covering compensation and incentives, career advancements, appreciation and shaping the future, addressing personal goals, performance feedback, growth and development. While the scores are not perfect and we can always improve and we'll strive to do so, here are some answers to some critical questions. I fully understand my job role and responsibilities. 95% agree. Our location works to improve health and safety, 89% agree. I feel a sense of personal accomplishment at the end of the workday. 82% agreed. How many plants can beat this, this is a huge number. I respect my General Manager, 95% agree. Martinrea prioritizes encourages diversity, 89% agree. My direct supervisor treats me with dignity and respect, 88% agree. Not perfect but outstanding results overall. In order to get this feedback from your people, you have to walk the talk. You have to care for your people. Analysts and investors look at numbers. I believe these numbers and our safety numbers are even more important than a quarterly margin or EBITDA number. It would be great to see these referenced in some analyst reports. I believe our shareholders care about them, too. We believe that a happy, motivated and powered purpose-oriented workforce is the foundation of company's success in the short, medium and long term. A strong thank you to our people [indiscernible]. Let's turn to the other highlights of 2022. Last year at this time, we indicated that we believe 2022 would be a good year and our results would improve throughout the year as supply chain conditions became more normal. As industry volumes would recover somewhat and production schedules became more stable and as we deal with cost inflation through negotiations with customers and suppliers. We knew we would have many challenges with the war in Ukraine, energy shortages on and on. But we did say that the first half of the year would show profitability and that the second half of the year would be better than the first in general, that's how the year 2022 played out for us. Here are some of the key highlights of 2022. The full range are found in our annual information form and our year-end releases. Our industry-leading safety metrics continue to improve again. We take safety seriously. Our total recordable injury frequency, or TRIF, was 1.21, an improvement of 12% over last year but more impressively, an 86% improvement over 2014 when we made safety our priority. Note that a TRIF of 1.21 is less than half the industry standard of 3.1 -- as many of you know, over the past 2 decades, we have bought a number of troubled plants where safety culture often had to be emphasized as part of the plant culture. We are very proud of this improvement. A safe plant is generally a good and profitable plant also. We recorded record revenues of $4.75 billion, an increase of over 25% from 2021. We saw increased revenues from some of our key programs but we also have launched many new products in 2021 and 2022 that are driving some of the revenue growth, all during the pandemic. We generated a record level of EBITDA during the year. Each of the third and fourth quarter showed record quarterly EBITDA. This operating cash flow also translated into free cash flow in the second half of the year of approximately $80 million. Our 2022 fully diluted net earnings per share of $1.76 adjusted or $1.65 unadjusted was significantly higher than the $0.41 adjusted and $0.45 unadjusted in 2021. Our balance sheet improved throughout the year, ending the year with a net debt-to-EBITDA ratio, excluding IFRS 16, of under 2:1, the best it has been since before the pandemic. We maintained our dividends to our shareholders in 2022. During the pandemic, we have not reduced dividend payments. Quality is important to us and our customers. Many of our products are safety parts and we won a number of quality awards in many of our plants. We continue to invest heavily in the business, given the significant amount of new business we have won. We know that in the past 3 years, we have spent close to $1 billion on CapEx, the highest for a 3-year period in our history. But the majority of the spend was the launch work we had won. We did not slow down our investment activity during the pandemic. And that is the primary reason we are coming out of it with significantly higher revenues. Not many automotive parts suppliers have a similar experience. Do not believe in perfect launches, we believe in better ones each time. We have many good ones. Not only have we grow our business, we have significant content on the vehicles our customers are making, electric, hybrid or ICE. Our portfolio is matching what the industry is making. Our Lightweighting Technologies are precisely where our industry needs. We continue to both utilize and invest in leading-edge technologies in our regular operations and through Martinrea Innovation Development or MIND. We have investments in graphene and graphing enhanced batteries through our NanoXplore relationship, a loaner battery technology through AlumaPower and several other new technologies such as Effenco using super capacitor technology. Our innovation efforts were recognized in 2022 with Martinrea being awarded a PACE Award for a GrapheneGuard enhanced brake lines. This is generally regarded as the most prestigious technology award in the automotive industry, a big congratulations to our team. We continue to drive sustainability initiatives at Mark brand and we encourage you to read our 2022 sustainability report. A few highlights. On carbon reductions, carbon intensity, as carbon emissions relative to sales has reduced by 19% since our 2019 baseline. Energy reductions, energy intensity which is energy consumption relative to sales, has reduced by 16% since our 2019 baseline. Renewable energy, approximately 42% of our electricity consumed comes from renewable sources today. Our CDP score, we increased our score to be for management of climate issues up from a C in 2021. Long-term targets. In 2022, we set a target to reduce our carbon emissions by 35% by 2035 without the use of carbon credits. In diversity, our CEO-led diversity committee formed additional subcommittees to focus on mental health, minds matter, women at Martinrea, young professionals are YoPRO and women in manufacturing. As we look to 2023 and beyond, we do so with renewed confidence. We have been through a tough 3-year period. We believe we will see better industry sales and production growth, especially in North America, where most of our operations are located. There is pent-up demand, vehicle inventories remain low. While interest rates have risen and may remain elevated this year and maybe beyond, automotive financing is available often at competitive rates. And consumers, especially in the United States, have generally strong household balance sheets and good jobs. Our 2023 outlook shows growth in revenues, adjusted operating income margin and free cash flow, a very solid outlook. And as noted, we believe sustainable companies with a great culture will be around for a long time. Our future is great. We look forward to sharing it with you. And now here's Pat.
Pat D’Eramo: Thanks, Rob. Good evening, everyone. As noted in our press release, we generated an adjusted net earnings per share of $0.58 and an adjusted operating income of $71 million in Q4, up significantly from a loss of $3 million in Q4 of last year. Production sales came in at just under $1.2 billion, up 38% year-over-year and Q4 adjusted EBITDA was $149 million which is a new quarterly record for the company. Adjusted operating income margin came in at 5.5% which is slightly lower than the 5.8% we generated in Q3 due to a quarter-over-quarter increase in tooling sales which typically earn lower margins for the company and some previously recognized favorable commercial settlements that were reclassified into sales in Q4, a cost to offset accounting treatment with no corresponding volume or bottom line impact to the quarter. Adjusting for these impacts, fourth quarter production sales and overall operating income margin were similar to Q3. Another strong quarter, especially when you consider the ongoing volatility in the environment. During the quarter, we continued offsetting inflationary costs commercially and continue to improve our operations despite continued supply chain disruptions impacting a level of stability of customer production schedules, albeit at a lower level. I'm happy with the work the team is doing on all these fronts. It's been a challenging time to be in the automotive parts business in many respects and still is. Our team has faced these challenges head on, negotiating fair agreements with our customers and suppliers. The business continued to drive operational improvements across the organization. I can't thank our people enough for their hard work and tenacity during this time. As I mentioned on our last call, commercial negotiations will continue but we do see them normalizing as the year progresses, assuming a continued easing and inflationary pressures. On that front, a warmer-than-expected winter and improved supply conditions in Europe have resulted in a drop in natural gas prices in the region. And the worst case scenarios that were contemplated as a result of the energy shortage, including production shutdowns have not come to pass. This is good news. Notwithstanding inflationary headwinds persist in other areas and labor conditions continue to be tight, particularly in the United States. And while production environment is gradually improving, we continue to be impacted by supply-related production disruptions with several of our customers, as I already noted. Looking forward, we continue to expect 2023 to be a good year with better production volumes, margins and free cash flow compared to 2022 and what we expect will be the beginning of a strong cycle with most of our plants running at capacity. We updated our 2023 outlook on our Q3 call back in November. As a reminder, this outlook calls for a total sales between $4.8 billion and $5 billion, adjusted operating income margin to be between 6% and 7% and free cash flow to be between $150 million to $200 million. We're maintaining this guidance and continue to see it as reasonable and achievable. Of course, volumes are difficult to predict and mix is always a factor. Looking at our global operations in North America. Our adjusted operating income margin contracted somewhat quarter-over-quarter in Q4 compared to Q3. The quarter-over-quarter increase in tooling sales and reclassification of commercial settlements mentioned earlier, took place primarily in North America. This had the impact of increasing sales without any flow-through to earnings. In addition, our mix in North America was less favorable and we had a lower level of commercial settlements during the quarter. On a full year basis, our North American operating income margin for 2022 came in at 5.7%, up nicely year-over-year from 2.4% in 2021. We expect further year-over-year margin gains in 2023, absent quarterly fluctuations we see from time to time as our outlook calls for. Further margin gains are expected to come from planned volume and mix normalization of input costs, continued lower launch costs and continued operational improvements. What I now call our pandemic launch activity was among the busiest launch cycles we've ever had. I'm happy to report the products have stabilized and we are in a great position to enhance our margins as our customers' ramp up. Turning to Europe. We saw a notable sequential improvement in adjusted operating income during the fourth quarter, mainly driven from our favorable commercial settlements. As I mentioned earlier, we devoted a lot of time to recover our fair portion of the elevated energy costs that have been weighing on our European business. We concluded several agreements on favorable terms which have had a positive impact on our margins in this segment in Q4. Our operating income margin in Europe for the full year of 2022 came in at 1.7%, up from a loss in 2021. We made some good progress in this region as well. In our rest of world operations, representing 3% to 4% of our business. Adjusted operating income declined slightly quarter-over-quarter given a weaker sales mix. Results segment tend to vary more than others because it's relatively small in size. But overall, we're happy with the performance in Q4. I'm pleased to announce that we've been awarded approximately $90 million of new business over the past number of months. This consists of $60 million in our Lightweight structures commercial group, including additional EV content on GM's new EV pickup truck, Lucidar and the Jeep Gladiator hybrid electric as well as additional business with Audi, JLR and Toyota. $15 million in our Propulsion Systems group with Solenis, Scania and Nissan and $15 million in additional content on Malucider and our flexible manufacturing group. As you can see, we continue to win meaningful work on our EV platforms with key customers. It's also worth pointing out that over the last 4 quarters, we've also secured roughly $250 million in replacement business, including the next-generation GM Equinox crossover. Of note, we are now constructing a new metallics facility in Mexico that will accommodate work on GM's new BEV3 electric vehicle program. This is on the heels of expanding our FMG plant and a new fluids plant in that country. We have a lot of great activity happening in North America, particularly in Mexico. Let's turn the page and discuss a great new investment. Monday, we announced the acquisition of the assets of Montreal-based Effenco development which was actually completed last year. Effenco designs, manufactures and markets innovative technologies for the electrification and connectivity of heavy-duty vocational trucks. The Effenco hybrid electric solution augments the vehicles powertrain and electrifies onboard equipment utilizing a unique ultracapacitor-based technology which reduces greenhouse gas emissions by 30% to 40%, while also reducing engine usage hours, fuel consumption, noise pollution and related maintenance costs. The Effenco is a global CleanTech 100 company and a global technology leader in the innovative use of ultracapacitors. We're very pleased with this acquisition and look forward to building on Effenco's leading-edge technology with the company's existing customers as well as new customers. We welcome the Effenco team to our Martinrea family. Again, many thanks to the Martinrea team for their great work leading to another solid quarter. With that, I'll pass it to Fred.
Fred Di Tosto: Thanks, Pat and good evening, everyone. As Pat indicated, our fourth quarter financial results were essentially consistent with the third quarter. Notably, Q4 adjusted EBITDA set a new quarterly record for the company. As we said, the back half of 2022 will be better than the front half that is essentially how the year unfolded for us. Notwithstanding our company in the auto parts industry in general, continue to deal with headwinds on multiple fronts, as many of you are well aware of. These include ongoing supply-related production disruptions, inflationary cost headwinds and tight labor market conditions. Despite these challenges, we have made great progress in recent quarters towards getting our margins back to levels that we are accustomed to. The strong performance continued in the fourth quarter. We expect our results to improve further as supply chain disruptions abate, production volumes continue to recover and our launch activity continues to normalize. As Pat noted, we have maintained our outlook which calls for higher production volumes, sales, margins and most importantly, free cash flow in 2023. Taking a closer look at our performance quarter-over-quarter. Production sales were 4% higher, largely due to the reclassification of previously recognized commercial settlements into sales, as Pat mentioned and general timing of commercial settlements. Excluding these items, production sales were essentially flat quarter-over-quarter. Generally, the production environment was similar to last quarter but is expected to gradually improve as the year unfolds. Adjusted operating income margin came in at 5.5%, a bit below the 5.8% we generated last quarter due as patent order to a quarter-over-quarter increase in tooling sales and the reclassification and timing of commercial settlements previously discussed. Overall, excluding these items, adjusted operating income margin was essentially flat quarter-over-quarter. Free cash flow came in at $15 million, another positive quarter but below Q3 levels, reflecting the timing of capital expenditures. On a full year basis, free cash flow was $50 million, positive, a strong result considering the ongoing challenging environment. Free cash flow is expected to improve significantly this year as our 2023 outlook implies, reflecting a higher level of EBITDA and lower CapEx. Looking at our performance on a year-over-year basis. Fourth quarter adjusted operating income of $71 million was up sharply from a loss of $3 million in Q4 of last year and adjusted EBITDA of $149 million more than doubled on production sales that were 38% higher. Recall that the back half of 2021 was when supply-related production disruptions were at their worst, marking a low point in our financial performance before results began to improve materially in subsequent quarters. While a stronger year-over-year performance is nice to see, results are still below what we know we can achieve. We expect to go a long way towards bridging this gap in 2023 as our outlook implies. Moving on to our balance sheet. Net debt was about $20 million lower quarter-over-quarter, closing out the year at $909 million. Our net debt-to-EBITDA ratio was 1.95x, in line with our expectations to be below 2x at year-end. This represents a comfortable level for us and is well below our covenant maximum of 3x. The leverage ratio should naturally improve in the coming quarters as to generate an increased amount of EBITDA and free cash flow, a portion of which we will use to pay down debt. We have strong relationships with our lenders and we thank them for their continued support. I'm now going to spend a bit of time on capital allocation and capital spending. I should note that we have had for some time an investor newsletter on our approach to capital allocation posted on our website. Neil Forrester, our Director of Investor Relations and Corporate Development, who has been both an auto analyst and an investor with Franklin Templeton has set out our thinking very nicely for you. In any business, how the company allocates its capital is among the most important decision management has to make. Capital allocation is equally as important as operational decision-making and execution. We have to be effective at both to ensure our organization prospers or even survive over the long run. Profitable businesses with strong operating track records can be derailed by a poor capital allocation strategy. Therefore, it is critical that we get this part of the corporate strategy right. In Martinrea, we spent a lot of time thinking about capital allocation. Our overarching priority is quite simple to generate long-term positive returns for our shareholders. Generating returns is part of our mission. In that sense, we are no different than an investment manager running a mutual fund, pension plan or endowment fund or an individual investor managing his -- our own portfolio. We are committed to the long-term sustainability of our company, in line with our vision, mission and principles. We're all owners, increasing our holdings of shares and equity-based investments over each of the past 7 years with minimum shareholding requirements and a robust equity share ownership program. In the last 3 years, we have met the challenge of the pandemic, chip shortages and inflation and so on, head on. And today, we are a strong company as we've ever been because are owners and behave like owners. Taking a closer look, our capital allocation framework is as shown on this slide. While maintaining a strong balance sheet, we seek to invest in growth and maintenance opportunities that have the potential to generate strong returns for our shareholders. This can take the form of organic capital investments and research and development initiatives as well as acquisitions and make strategic and financial sense. These priorities are driven by a disciplined internal rate of return and return on investment capital framework. That is, we choose the options that have the highest expected returns over the long term. In late 2014, Pat joined us as President and CEO and we embarked on our lean transformation journey. The period we referred to as Martinrea 2.0. For the next 5 years, adjusted operating income margin nearly doubled to 7.5% in 2019, over 8%, excluding the impact of the 2019 GM strike, you may recall, putting us among the top in our peer group. We achieved this through a combination of plant-level operating improvements in our lean manufacturing practices and a more disciplined go-to-market approach daring to a strict IR hurdle rate in quoting new business which will generate ROIC at are among the best in our peer group. We've had margin challenge over the past 2 years but as noted, margins are improving and are expected to continue to do so in 2023. So let's talk about free cash flow playing the long game. Free cash flow is an important metric in assessing the merits of any investment is a key element for many investors, for many of you and ultimately, a key driver of valuation. The value of an investment is equal to the present villas future cash flows discounted at the appropriate cost of capital. Importantly, the cash generated potential of business must be looked at through a long-term lens. The company may have options to invest capital in high-return organic growth opportunities that will provide a steady stream of free cash flow in future years. However, those investments reduced free cash flow initially. Working capital falls can also be unpredictable over short-term periods, skewing the true cash flow picture. When allocating capital is incumbent on us to play the long game and not be distracted by near-term ebbs and flows. For Minor a 2.0 journey, especially in the last 3 years, has also included substantial capital investment, mostly on program launches reflecting all the work we have won. This year, we are expecting CapEx to decrease from 2022 levels, helping to lead to an expected strong free cash flow profile in 2023. What about acquisitions? Our position strategy has been and is disciplined and has served us well over time. Historically, our acquisition and strategic investment strategies revolved around acquiring businesses that broaden our product offering, technology, front print or our customer base. They helped us grow rapidly from a start-up to a company with over $4.5 billion in revenues, a true growth story. Primarily, these were distressed assets required an investment and resource turnaround. We were able to acquire these companies cheaply in the structure of the operations, thereby putting them on a more sustainable path. We have proven our effectiveness of turning around struggling businesses. We are prudent and disciplined buyers and this is a big part of how we built our organization. Our acquisition strategy has evolved over the years, the valuation remains a key component. Great companies can end up being bad acquisitions if you pay too much. So we are selective and prudent in our approach. Basically, we look for companies that can help us achieve some combination of advancing our Lightweight strategy, enhancing our product and technical capabilities and diversifying our customer base and we look to acquire these companies that are reasonable to attract valuations. While I won't go into further here, our investments in [indiscernible] assets and the NanoXplore are proving to be great investments to maintain and grow our business. Strong balance sheet is also paramount as it gives us the confidence and ability to withstand downturns if and when they arise, like during both the great recession of 2008, 2009 and the recent COVID-19 shutdowns. Our customers also prefer to deal with suppliers who are financially sound that they know will be around to serve them in the long run. So a strong balance sheet is fundamental to maintaining and growing our business. We believe our targeted net debt to adjusted EBITDA ratio of approximately 1.5x is appropriate for our business and as it represents a level that allows us to manage downside risk will maintain the flexibility to invest for growth and we are approaching that target. COVID-19 pandemic highlighted the importance of our strong balance sheet and strong lending relationships. We also showcased our ability to manage through a crisis and appeared full of uncertainty. A strong financial position leading into the COVID-19 downturn as well as actions we took in the form of cost reductions from temporary layoffs, salary reductions and CapEx reductions as well as liquidity actions to increase credit availability allowed us to navigate through the crisis in a position of strength. The final component of our capital allocation strategy is returning capital to shareholders in the form of share repurchases and dividend growth over time. While our dividend rate is higher than many in our industry, we pay approximately $16 million in dividends annually, representing a modest cash outlay given the scope of our business. We raised our dividend just before the pandemic and maintained it since then. While we seek to reward our investors with a steady stream of dividend income, our view is that share buybacks represent a more compelling opportunity as we believe our stock is undervalued. As such, return of capital is more likely to be focused on buybacks at this juncture as they offer better return potential. We have been active with our share repurchase program in the past. Between 2018 and 2020, we repurchased 8% of the company's outstanding shares for $83.4 million. In the pandemic kit in 2020, we suspended our formal normal course issuer bid, a prudent move to preserve cash. However, we did maintain our dividend in full. It is now March 2023. We continue to invest in our business, maintain our dividend and keep our balance sheet strong. We're also filing for a normal course issuer bid which will be in a position to commence our after we release our first quarter results in May. Philosophically, we like buybacks as we think our shares are attractively valued and represent a great investment opportunity. At the same time, we're going to be prudent with our cash and we'll continue to strengthen our balance sheet while still investing in the future of our company. In conclusion, we believe our capital allocation strategy provides the right mix between investing in the future of our company while putting it in a strong financial position through prudent balance sheet management. It also seeks to reward our shareholders for their continued support in the form of returning capital to them through dividends and share buybacks. In summary, our capital allocation framework is core to our overall corporate strategy and should enable us to drive meaningful and substantial growth in revenues, earnings and free cash flow in the medium and long term. And with that, I'll now turn you back over to Rob.
Robert Wildeboer: Thanks, guys. Now it's time for questions. We see we have shareholders, analysts and competitors on the phone but also employees. So we may have to be a little careful with our answers but we will answer what we can. Thank you all for calling.
Operator: [Operator Instructions] We thank you for your patience. First question is from Michael Glen from Raymond James.
Michael Glen: So maybe just to start, Rob, during your opening remarks, you talked about the investment of close to $1 billion in CapEx over the past 3 years which is a large number. So I mean, in the Fred, you're talking about CapEx being lower in '23 versus '22 which is great. But can we look out over 3 years? Can you give some sort of thoughts like was the $1 billion that you've spent? Was that an anomaly for 3 years? Or is that a potential we could see something of that magnitude come around?
Robert Wildeboer: Yes. Good question. I'll start and turn it over to Fred. Recall in 2019 which a long time ago, a lot of things have happened since that time. We want a ton of work. We announced new business wins in the range of $800 million to $1 billion in annual business which was the best year of quoting and winning in our history. And of course, in our business, when we win work, it takes a couple of years and with some slowdowns over the pandemic, maybe 3 years to launch that. And so a lot of our CapEx was focused on launching programs that we've won. And effectively, our focus was to fill our plants. The pandemic didn't divert us from that. And as we come out of the pandemic, as you can see from a higher revenue rates and so forth, we think our plants are pretty full. I think we've said that our plants are fuller now than they have ever been. And basically, the last time we had plants this fall was when we had 2 plants back in 1998. I'll turn it over to Fred for some color maybe on the future.
Fred Di Tosto: Yes. I mean I think we're not going to shy away from investing in our business as long as the returns are there and the projects meet our hurdles. However, we are coming out of a pretty heavy investment cycle from our perspective and that included some fairly long-term assets, cash machines, presses, machining centers and so forth. So we want to be prudent. And we're kind of -- you see what kind of opportunities come our way but we are going to be working within, call it, constraints, internal constraints with a focus of generating free cash flow, at least for the foreseeable future and then dependent on the opportunities. So we're focused right now in '23. We've provided guidance on that year. And then going forward, we'll continue to kind of apply the same logic.
Michael Glen: And then you're also talking about the production schedule volatility. And I'm just curious, I mean, others seem to be impacted more by this. I'm just wondering how you're managing through this because it seems to be impacting less. Like what changes have you made? Or is this the flexible line that you transitioned to a few years ago or a number of years ago now. I mean how are you being more effective in terms of managing through this production volatility?
Pat D’Eramo: Some of it is mix and we are being affected in some of our plants. One customer, in particular, has really had kind of a poor start to the year, frankly. But other customers have done pretty well. And so when you look at the mix as a whole, we're not being too bad. It pretty much again looked like the previous quarter overall.
Michael Glen: Okay. And then just in terms of cadence for the year, Pat, maybe -- I don't know if you're talking about Ford having some challenges during Q1 in that comment but there's also some news about GM and some silver auto production stoppages to control inventory. Like should we think about Q1 being perhaps a bit softer and then building to -- and then it builds through the balance of the year?
Pat D’Eramo: Yes. I think there was some -- there's certainly some customers that had some issues coming out of the chute. But I expect that throughout the year, we're actually going to have a pretty decent year similar to what we said earlier. I think our sales will still be around $4.8 billion to $5 billion. And I do think it will pick up. I think the second quarter will probably be the best test. In the past, prior to COVID, second quarter was always the big quarter -- and since that time, it has been out of sorts, if you look back at 2020, it was the end of the year before all the supply shortages this year was the third and fourth quarter that were the better quarters. It will be interesting to see but we somewhat expect the second quarter to kind of start to return to where it had been in the past.
Operator: The next question is from Brian Morrison from TD Securities.
Brian Morrison: Okay. So when I look at the 4 drivers in your prior operating margin chart, the volumes and increments to launch the cost efficiencies and pass-through. I'm curious, do you expect Pat or Fred, do you expect all of these positive margin contributors this year? And the reason I ask is if you just look at the volume in comments, you should be able to get to the low end of that range alone. And then the second question to that is, Pat, you mentioned launch being a benefit after the heavy cycle. You've gone through it in great detail. Can you maybe just ballpark how we should think about that in terms of basis points in 2023?
Pat D’Eramo: Well, we have a lot of launches, as you know, during the pandemic, about $600 to $800 million worth, if I remember right. And a lot of those products are in different stages of ramp. So our ability to produce steadily has improved significantly. The pull from the customers is still pretty erratic in some cases. So as we see them start to smooth out their ramp cycles, I think we'll benefit more. We don't control that, of course. But I would say our part of the game is -- has been played. And now it's a matter of waiting on the launch cycles. Some are moving along pretty well. These are struggling. But certainly, as this year progresses, we expect it to get better.
Fred Di Tosto: And as it relates to the first part of your question, I would say a simple answer to your question is yes, those are going to be contributors' year-over-year -- we're expecting production volumes to be up year-over-year. We're expecting supply chain disruptions to continue to improve, although you may see some quarterly ebbs and flows there. And then some normalization of input costs as it relates to inflation.
Robert Wildeboer: So I mean general comment, there's a lot of stress in the industry at any particular time and it's not just semiconductor chips. But we're really good at what we do. And there's a shout-out to our people and they've done a really good job on launches. They've done a lot of launches.
Pat D’Eramo: And at the end of the day, some people just operate better than others. We think we're really good operators. And if you look at the inventories on some of the best-selling products, they're still pretty low. And there have been some quality issues from other suppliers other than chip shortages that have affected some of our customers -- if you recall last year, some customers built ahead a lot of vehicles without chips, so they had to distribute some of those chips into those products based on what year it was and what year they want to sell those vehicles in. So some of that probably took priority away from some of the production but I think you'll see that level out pretty easily.
Brian Morrison: Okay. I appreciate the clarity. Maybe just if I can go down that pass-through. Correct me if I'm wrong but I think the disclosure was about $100 million. It was the last one that I can recall. Maybe just update us where you came in at year-end? And what's baked into your 2023 guide. It sounds like you expect it to be a little bit of a tailwind. And then, I guess some of your peers are talking about Q1 as inflation pass-through negotiations could be soft. The negotiations are extending beyond the quarter. I realize its fluid but are you seeing any change in the progress in early [ph].
Pat D’Eramo: I think the $100 million number has been kind of talked in the last couple of quarters. I think the last thing I said is probably north of that. Again, we're starting to see some relief in that area. So it's a bit of a moving target. So we're not going to put any numbers to it. And then, we have been able to offset a good portion of that. We're not recovering 100% and I noted that in the past as well. And as we kind of evolve in 2023, we expect some normalization of those costs and that will help. However, the commercial activity will also continue. So that has not stopped and I agree with some of our peers that are saying that those discussions are continuing to '23 and we're seeing that as well.
Brian Morrison: Okay. Sorry, last question, Fred. I didn't really -- I didn't quite understand the NCIB in terms of you're going to restart it in May. I appreciate that you want to get active with your -- in CIB but why are we waiting until May?
Fred Di Tosto: Well, because we got approval to apply today. So in that context, we talked about it with our Board, it's our year-end board meeting. We talked about capital allocation strategy. And so the TSX has to approve it. So we tend to purchase when we're not in a blackout period, we'll be in a blackout period April 1. And so we anticipate that we'll have approval by then and that's when we'll get active on our NCIB.
Operator: Next question is from David Ocampo from Cormark Securities.
David Ocampo: Just a couple of quick hitters for Fred maybe. Just curious on your commercial renegotiations, how you guys reclassified that as sales for the quarter. How are you guys recording it in the past? Just trying to get a bit of sense on how to model that.
Fred Di Tosto: Yes. Earlier in the year, when we close out some of these negotiations and again, it got really complicated because some of it was in peace price, some of it was spot BOs. And so these deals were structured very differently depending on the customer and the program. And there is a certain piece of that we accounted for as a cost offset as opposed to in our sales line item. Then as the year progressed, we got some additional guidance from our auditors and the verdict was that those should have been reflected in sales. So for year-end in the fourth quarter, we essentially reclassify those into sales. There's no bottom line impact, not material but it did kind of skew the sales number in the fourth quarter a little bit.
David Ocampo: Got it. And then just on your capital allocation comments there. Is it necessary for you guys to hit that 1.5% target? Or as soon as the NCIB kicks in, we could expect buybacks if your share price kind of hangs around at these levels?
Fred Di Tosto: It's a directional target in that context. I think you've seen our net debt-to-EBITDA come down really quickly. And we just think in terms of long-term capital strategy in terms of where we're comfortable with our debt-to-EBITDA levels, subject to some of the macro things that we see in the world from time to time. But that's a pretty good guideline.
David Ocampo: Yes. That makes a lot of sense. And then, Pat, it sounds like there's still some commercial renegotiations to happen here in '23. So is the thought process that margins continue to improve throughout the year, absent of your typical seasonality?
Pat D’Eramo: That's a good question. There is still commercial negotiations. There's always commercial negotiations. We expect them to normalize as the year goes on. There's still some out there that we're dealing with. We'll always deal with some level. But as the inflationary costs start to reduce or at least normalize, it becomes a lot easier to manage those. I think, of course, the margin could certainly improve as the year goes on but our target is a little bit above 6%, below 7% is our target for the year and I'm pretty comfortable we're going to achieve that. Again, volume and mix can really have an impact on that. And I think second quarter, if second quarter is like the second quarters prior to COVID, will be a real test of that.
Robert Wildeboer: It's really hard for us to just do it on a quarter-by-quarter basis because of the timing and negotiations are ongoing all the time. That's why last year, we kind of said after the second half of 2021 being negative, we said we're going to be profitable in the first half of 2022. We think the second half of 2022 will be better than the first half which has turned out to be the case. I think 2023 will be better than 2022. Actually, we're pretty confident on that. But what happens in a particular quarter may depend like if you're negotiating in March and it carries over to April or you're in May and it carries over to July you just got to get the right results; and that's the focus of our people.
Pat D’Eramo: But the problem is, the volatility still. I mean there are plants that we expected to run that didn't run in some of our customers and that can make an impact based on mix and which product it is, certainly. So that part, though, the volatility has improved, it's still out there.
Fred Di Tosto: Positive side is that if we could produce more vehicles in the U.S., we'd sell more, right?
Pat D’Eramo: It's a pretty good. There's an interesting -- I'm going to share a really quick story because what is the demand. And so I'm at a dealer in Detroit in December. -- And to purchase a vehicle. I won't say which customer because I want them to make sure they know I love them all. And so I got to purchase this vehicle and the lady who's selling the vehicle to me, I noticed that a lot was very sparse. And I said, how many cars do you have? And she says, trucks and cars, we have 29. And I said, how many did you have pre-COVID? -- You said, we used to carry between 600 and 800 vehicles on that lot, okay? Now, I said you'll never go back that again because I don't know, probably not. But if you think about 29 versus 600 to 800 and they had 145 coming on trucks when we were talking, she said that 127 of them were already sold. So there is a pipeline there that is very empty still that will keep us busy this year regardless, assuming the supply chain can support it. That's where we believe we're at.
David Ocampo: Yes. And the publicly traded franchise dealership say the same thing.
Pat D’Eramo: Well, they should because we're right and I'm glad they agree with...
Operator: Next question is from Peter Sklar from BMO Capital Markets.
Peter Sklar: Could you talk a little bit about how you see labor inflation in 2023 in North America and Europe? I believe in Europe, it's a little bit different because you have workers councils and like the wage rate is set at the beginning of the year, so you'd have a view into that already. And I believe in North America, you're largely non-unionized.
Pat D’Eramo: Yes, that's correct. So in Europe, we've already settled, I don't remember the number, us 3 or 4 years out with our unions there, at least the ones in Germany. So Mexico is an annual event. There might be a little bit higher percentage than there's been in the past. We've seen a pretty wide range of settlements so far, a little higher than normal but not crazy. And in the U.S., we have some union negotiations. So it's TBD, the ones that we had in Canada that we've already settled have all been very reasonable. So the big bump in some of the plants that we had to pay back when we couldn't get any people at all. Certainly, we won't see that type of inflation, again, I don't think. There's still some struggles, especially in the United States still on getting people but it's substantially better than it was last year.
Peter Sklar: Okay. And then the other question I had is like when you look at your segmented operating income, you had this very dramatic improvement in your Europe operating income which you -- it sounded like from your commentary, there was a big chunk of commercial settlements that fell into the quarter. That won't be repeated. So the $10.9 million of operating income, can you give us some kind of guidance, I guess, as to how much of that is unusual due to this onetime bump in commercial settlements. I assume it was largely related to energy costs in Europe.
Pat D’Eramo: Yes. The timing of commercial segments definitely skewed some of the segment margins this quarter. The way I would look at it, I would look at it on an annualized basis because a lot of that gets normalized and eliminates the quarterly volatility. North America ended the year at 5.7%, Europe, 1.7%; and Rest of the World, 4.8%. And we've provided our overall guidance of 6% to 7%. And obviously, the biggest driver to ask me to be North America, it's our biggest business. We see upside there and we also see some upside in Europe to contribute to that as well. So that's the way I would probably look at it.
Operator: Next question is from Krista Friesen from CIBC.
Krista Friesen: A lot of my questions have been touched on at this point. So I was maybe -- I was wondering if you could just give us an update on the Volta Explorer JV and where things sit there.
Pat D’Eramo: Yes. I think you've got 2 public companies comment here on the same thing. So we have to be careful. Volta is looking for financing in connection where the Giga Factory is. And at such time, as things line into place, they'll make an announcement. I will say, in a general sense and we've made no secret of this. We are very bullish on NanoXplore and graphene, whether it's in batteries, whether it's in brake lines where one the PACE award last year that our people should be congratulated for, whether it's in things like cement or plastics or some of the other things. And so there's a lot of discussions in the context of that from my perspective and maybe it's a little personal perspective, we think graphine enhanced batteries are potentially great for a lot of different reasons and there's a lot of battery makers out there looking for ways to make better batteries. And so we're supportive of not just the Volta initiative but overall graphene and battery initiative and graphene and everything else. So that's kind of where our thought patterning is.
Operator: Next question is from Ben Jekic from TI Financial.
Ben Jekic: Obviously, most of my questions have been touched on. But 2 little ones I want to squeeze in. Just wanted to ask, so the 1.5 leverage ratio, is that sort of general aspiration or something to expect for the end of 2023?
Pat D’Eramo: I think as -- we think we're getting there relatively fast. It depends on EBITDA, obviously and also a level of debt. I think we're where we thought we were going to be. We've been pretty good predictors of where we're going to be in a general sense. We don't want to get too specific on things but we think that we're going to get there sooner rather than later. The other thing is in terms of the $1.5 million, like there's no necessary magic in a number, right? But it has been a good guide for us. We're very comfortable, say, between $1 million and $1.5 million [ph]. We're a little less comfortable as we get close to $2 million [ph]. We think if we're under $1 million [ph], we aren't utilizing our capital structure appropriately. And quite frankly, if you're closer to $3 million [ph] where we were for a while, then you're looking to pay down debt. The other things that factor into our considerations for capital allocation is things like where the stock price is at, where interest rates are at, paying down debt actually saves more cash than it did 3 years ago. And so it's a iterative process as we kick it around. And I think that's the right way to do it. There's no one single fixed rule where you say this is where you think you want to go, you have to be prudent. At the same time, you're always looking at different opportunities, right? So there could be a big program to win and look at. I would say and this goes back to what Fred said earlier, we spent a lot of time filling our plants. We want a lot of work. We put a lot of money into it. We're at the stage now where to win big programs means we have to build plants. Those are going to require more capital than they did in the past when we had plants with capacity. And we're going to look at that. We're going to basically say how do we cover our capital and so forth? So I think we're going to be prudent. We're very open in our discussions. We consider all the factors but we'll try and make the right decision when it's before us.
Ben Jekic: Okay. But in terms of CapEx, are you -- you're still directionally firm that it will be lower in 2023?
Pat D’Eramo: That's correct.
Ben Jekic: Yes. Okay. No, you didn't give a specific level that you expect for...
Pat D’Eramo: What we said is, we think CapEx in '23 will be in and around depreciation and amortization as a percentage of sales.
Operator: So there are no questions registered at this time. So Mr. Wildeboer, I will return the meeting back over to you.
Robert Wildeboer: I said, everyone is gearing up for dinner. So we wish everyone a great evening. Thank you so much for joining our call for all the employees posting and there's quite a few of you. Thank you, again, for a great 2022. We look forward to agree 2023. If any of you have further questions, would like to discuss any issues, the contact information is in the press release. And Fred, Pat or I are always open for questions. Thank you very much. Have a great evening.
Operator: Thank you. Your conference has now ended. Please disconnect your lines at this time. And we thank you for your participation.